Jussi Pesonen: Ladies and gentlemen and welcome to UPM's Q1, 2017 Results Webcast. My name is Jussi Pesonen, I am the CEO of UPM and I'm here with our CFO, Tapio Korpeinen.
Tapio Korpeinen: Good afternoon everyone.
Jussi Pesonen: Let's get there into the businesses and our report. Q1 was another successful good quarter for UPM. We enjoyed good growth in delivery volumes. We achieved high operational efficiency in all of our businesses. We have very little maintenance activity in the quarter. As a result, UPM's comparable EBITDA increased by 8% to €305 million. Our operating cash flow was very strong €396 million and our net debt decreased to €807 million. Over the last 12 months, our comparable ROE was, return on equity was 11.1%. The quarter was, if I remember correctly 16th consecutive quarter to improve our profits. UPM has and we have actually six competitive businesses with strong market position and attractive growth opportunities for the businesses. Let's turn the page for the Page 3, we were operating in a positive business environment in Q1, demand was good for most of our products and geographically in most of our markets. Demand growth was particularly brisk in Asia. Growth was the main driver for improved results. In Biorefining, we reached record production in all of these three segments Pulp, Biofuels and Timber. Pulp deliveries grew by 8% and the profitability was on a good level also in Biofuels business. Specialty Papers, Raflatac and Plywood all achieved record quarterly profits. As you can see here, they all had solid quarter in deliveries they also benefitted from favorable product mix in Q1. Specialty Paper in particular made a good progress in driving its profits and product mix forward. While we are enjoying a favorable market demand, we also experienced moderate input cost inflation in Q1. Input costs are treating our businesses differently, but overall we manage to content the most of the cost increase as well. We also were able to increase our sales prices during the quarter in Pulp and Specialty Papers and in Pulp Plywood. Page 4 summarizes the status of the recent focus projects of UPM common for all of these is that we have financed from cash flow. We have implemented them on schedule and budget, and most importantly, they are generating attractive returns on the invested capital. The Kaukas Pulp mill investment that we completed last quarter has been another successful pulp the debottlenecking investment with fast ramp up in production. Also the Otepää Plywood mill expansion that we completed last quarter is already contributing to profitable growth in birch plywood. Both the Raflatac and the Biorefinary and the new Specialty Paper machine in Changshu showed good profitability during Q1. The Biorefinary achieved a new production record at the Specialty Paper machine in China high quality release line already represent the most of the production. But ladies and gentleman at this point, I would like to hand over to Tapio for some further analysis of the results. Tapio, please.
Tapio Korpeinen: Thank you, Jussi. On this following Page 5, you can see the results for our six business areas in terms of the quarterly development of the comparable EBIT. In Biorefining, first quarter this year was a highly efficient and clean quarter with no maintenance stops. Pulp prices increased during the quarter and were on the average 4% higher than in Q4, 2016. EBIT increased by €55 million sequentially from Q4. Compare to the first quarter of last year, pulp and biofuel delivery is increased significantly, but pulp prices were still on the average 4% lower, so EBIT was €8 million lower than in the first quarter of last year. In Energy, EBIT decreased by about €10 million both as compared to last year in the first quarter and sequentially. Hydropower volumes were below long-term average level. The winter was very mild, which had a negative impact on electricity prices and also reduced price volatility. Paper ENA had a another good quarter, improving its EBIT by 16 million from last year, despite of the fact that deliveries were 2% lower and prices on the average were 2% lower. EBIT was slightly lower than in the fourth quarter as both deliveries and fixed costs are seasonally, clearly lower in the first quarter then in Q4. As Jussi mentioned, Specialty Papers, Raflatac and Plywood all recorded record quarterly profits. In Specialty Papers deliveries grew by 3% and product mix improved with the help of the new specialty paper machine in China. EBIT increased 16 million from last year or by €6 million sequentially. In Raflatac, delivery volumes increased by 6%. EBIT increased slightly from the both last year and sequentially from the third quarter. In Plywood, deliveries grew by 7% and the product mix was favorable. EBITDA increased by €7 million from last year or €8 million sequentially. Here, we received a change in EBIT by driver and by business area as compared to the first quarter last year. On that left hand side looking at the change by earnings driver, you can see that the biggest positive driver was delivery volumes. Depreciation was also lower than in the first quarter of last year. We experienced moderate input cost inflation in the first quarter as Jussi mentioned. And this was evident in logistics costs, energy costs, some chemical costs as well as recycle paper cost. To offset the cost inflation, we continued our programs to reduce the fixed and variable costs. And in this, we required successfully the first quarter, as you can see we have a variable component, positive component there on variable costs. Changes in fixed and variable costs have very limited impact overall on our EBIT in the first quarter as compared to last year. As the cost environment has turned, we also look for opportunities to increase our sales price. Because of the increased economic activity, the dynamics have changed. In the past, we have deflation throughout our value chain. Now, there is emerging cost inflation which will also impact the whole value change including our customers. In the first quarter compared to the fourth quarter our sales prices increased in Biorefining, Specialty Papers and Plywood and remains stable in Paper ENA and Raflatac. The negative price component that you see in the chart comes from price changes that happened during 2016 from third quarter on. Here, you can see the strong first quarter operating cash flow €396 million, which included a working a capital release of €36 million. And so over the last 12 months, our operating cash flow totaled about €1.7 billion or €3.26 per share. As a result of the strong cash flow, our net debt continues to decrease. It reached €807 million or 0.52 times EBITDA. These figures are of course just before our dividend payment. We paid the dividend of €0.95 per share or €507 million on April 12. Our outlook for 2017 is unchanged. This will be another good year for UPM. Demand is expected to be strong for most of our products and our markets. We are experiencing moderate increase in our input costs but to mitigate this. We will continue to our measures to reduce fixed and variable costs. We will also work on sales prices in various businesses. In the short term, the second quarter performance will be impacted by higher maintenance activity as compared to the operationally clean first quarter. Paper ENA is expected to show the normal seasonal increase in maintenance and fixed cost totaling about €15 million to €20 million. And then in addition to that, the second quarter earnings impact of maintenance in Biorefining and Energy is expected to be about €20 million to €25 million. At this point, I'll hand over to Jussi for some final comments before the Q&A session.
Jussi Pesonen: Thank you, Tapio. Let's move into the -- our last page of the presentation and starting this I would first like to thank all UPMers for hardworking in businesses and functions. Our business model is now working well with six separate competitive and agile businesses. We can capture opportunities and react into the change in the market environment. We can grow with our customers with all the six fronts and we can take care of our cost competitiveness, focused actions, smart programs as we do have, and we continue to aim higher with our performance. This slide is a great explanation what we do with operating model, performance capabilities, capital allocation growth. With our strong cash flow and the balance sheet, we can simultaneously distribute an attractive dividend to our shareholders and invest in profitable growth. We will grow in businesses where we saw long-term fundamentals and where we do see that entry barrier is high for many other players. But we need to also think about the sustainable competitive advantages. When we invest in our businesses, we're interested in projects that are attractive and giving us attractive and sustainable returns and in timely manner, which I think that has to be the case for the past three, four, five years. We'll continue to implement focused growth project similar to those that you've seen recently. We can invest in selected large growth projects as well such a potential long-term development in Uruguay when the prerequisites for the attractive returns are met. We can grow the new businesses such as biofuels or biochemicals as actually discussed in our Capital Markets Day last autumn, and we can take part of the synergistic M&A when the opportunity and timing are right. We're looking for growth, we're looking for earnings growth, money is not burning in our book, as we will allocate capital when we see that there's a best way to increase shareholder value. Ladies and gentlemen, with these words and with this slide which I think that gives us a very strong outlook for the future, how do we think about going forward, grow business is long term fundamentals and sustainable competitive advantage. I will stop here or we will stop here and this is the end of the prepared part of the presentation and we're ready to take your questions. Dear, operator, I hand over to you for Q&A session.
Operator: Thank you very much. Ladies and gentlemen, we're now ready to take your questions. [Operator Instructions] And the first question comes from the line of Mikael Doepel with Handelsbanken. Please go ahead. Your line is open.
Mikael Doepel: A couple of questions, first of all in terms of the completed growth investment that you have done and which you also mentioned that are contributing to your earnings growth right now. Could you be able quantify how much more incremental earnings benefits can we expect to see this year from already completed growth investment?
Jussi Pesonen: This is Jussi, I think that it’s a pretty now simple to answer that if you remember third quarter last year, we said that 80% of the 200 million that we promised for the growth investment is done, what we were trading but I guess that you know what we've seen that there has been faster developments of many of the protect now and new debottlenecking opportunities. I think that there are more opportunities, but we do not have that kind of cadence anymore for actually number about like bio-fuels and the Changshu has been performing very good and there is further to come.
Mikael Doepel: Okay and then on the price increases which Tapio mentioned in his presentation, saying that you’re moving from a deflation or inflation environment that you will see price increases as yourself as well. Which business areas do you see the best opportunities to raise prices right now?
Jussi Pesonen: I think that the cost inflation is covering all of our businesses therefore I think it's absolutely crucial to think about all of the businesses, where we do have a kind of more direct cost inflation happening and that what we were announcing that we have been already doing price increases already during the first quarter. Then finally, it will be between our customers and our sales staff to quantify that but obviously, and this is said we're using all the opportunities and moments to put through the moderate cost inflation to the prices.
Mikael Doepel: Okay and just one final question here as you mentioned that the management burning your pockets and then you’re looking for growth and growth opportunities. However, looking at your balance sheet right now, it is becoming quite strong or you could even say overcapitalized. Should you not be able to identify any weaker growth opportunities now that same within the Euro, so would you see extra payouts in the form of dividends as enviable option?
Jussi Pesonen: All the options are now possible for UPM that’s the really the great -- I'm smiling when considering that all the options are available for us. But like I stated on our last page, that aiming higher page, we will continue to implement focus growth projects similar to those that you have seen recently. So, all of the businesses are in our focus and then obviously, we do have -- now based on the balance sheet, we do have the option for large scale projects as well or new businesses or even M&A. So, we do have all the options now available and then of course the attractive returns to our shareholders, is something that we have the option. So, we do have all the options available and obviously we're looking at all the options, obviously when stating that the money does not burn in our pocket is that, that we need to really find attractive and sustainable returns. So, the role itself is not interesting but if there is attractive and sustainable returns and underlying in timely manner we are very keen to use our shareholders capital on those kinds of projects. But its open and I’m happy to report again you know strong cash flow, which I think that is even giving us more confidence of the future to give good returns for our shareholders.
Operator: Thank you very much and moving on to the line of Harri Taittonen with Nordea. Please go ahead. Your line is open.
Harri Taittonen: Just starting with a couple of balance sheet and cash flow related questions. Working capital you managed to get that lower so that was a positive item which is quite rare for the first quarter. I was just wondering, how you managed to do that? And the second is also like looking at the capital employed, how that’s been coming down by more than the size of the business, I think 6% down from the previous quarter and 10% from a year ago. What is behind that reduction in capital employed in your balance sheet? Those two questions please.
Jussi Pesonen: Well, let’s say to the first quarter perhaps to some extent to the second as well, we have been as I think we have been describing earlier, looking for ways to increase our efficiency in working capital. So really looking at the way or the different means through which we can improve our working capital turns with all the components of networking capital, not just the one-time tricks but rather becoming more efficient on that front, and let’s say we have achieved good progress on that and that is overtime working through and contributing in a sense to better capital efficiency which means lower working capital, but then of course in the short-term release some cash from working capital as well. The sort of quarterly figures obviously as we have seen in the previous years as well, they can sort of swing up and down but in that sense there is perhaps not point to sort of look at one quarter figure too much as such but in the background there is a contribution from the better turns and efficiency that we are targeting and achieving here going forward. Then, on the working capital side, otherwise of course what we have been doing on one hand as overall investment level has been lower than CapEx for depreciation has been coming down. And then, we have been also working on divesting some non-core assets, let’s say in transactions. Let’s say smaller and medium sized months, but one after another we saw the Fray mill, now we announced the sale of some mill hydropower plant in Central Europe and the U.S. and so on and so forth. So although sort of measures also improved the capital efficiency and not the least for Paper ENA where I still remember our metric for the management there is cash flow return on capital employed. So, they are incentivized to work on both parts of that calculation cash flow and capital input employed.
Harri Taittonen: Okay, that's pretty convincing. Thank you. Maybe one sort of last question, on the guidance let's say that that's going to -- are there other having I mean you refer to this sort of near term maintenance impact, but other some other seasonal factors that we should remember to sort of offset the negative $35 million to €45 million that one can calculate from the maintenance delta, Q2 versus Q1 that we should remember? Also related to that, I think you earlier you've said that you have not been willing to give that specific guidance of the second half because obviously, the world is uncertain and because of that uncertainty will you remain fairly in sort of broad terms in guidance, but when do you think you're ready to guide for the second quarter sort of outlook more specifically? And that’s my last question, thanks.
Jussi Pesonen: Well, let's say perhaps to that sort of seasonality or other factors, of course one element that you can see from in the sense the market information is that kind of short term trend for pulp price has been now up, so that sort of still continues to come through in our P&L. That's the positive in the Pulp business obviously and then as increased cost item in the Paper business. But of course, as mentioned, the number pricing side in the paper business we have been working on kind of passing it through in Asia and in fine paper that has been possible. Otherwise, it's as mentioned, the normal seasonality in maintenance cost in Paper business around the midsummer shutdowns which we have last year as well. We have maintenance stop at the Biorefinery as normal in the second quarter this year. And then different from last year, we have bigger maintenance shut at Pietarsaari and actually a longer shut in the energy business in the nuclear power plant. Normally always we have in the second quarter the shut that the two reactors, but this year for also the two STVO has announced the shut is a bit longer than normal about 40 days.
Operator: Okay. Thank you very much and moving on to the line of Justin Jordan with Jefferies. Please go ahead. Your line is open.
Justin Jordan: Thank you and good afternoon everyone. Just firstly and thank you for putting in on Page 5, you released the commentary on the Uruguayan top line development. I just would like to get a little more color just essentially on timelines here. Now, if we say you obviously in negations with or discussions with the government of Uruguay currently? And then assuming success with that then you're into pre-engineering study, equally assuming frankly the success with that. Are we talking about at the earliest 2019 for a potential CapEx on this project and as you said we're jumping the guns for two years here, but is that sort of the timeline we should be thinking about 2019, 2020 for the first of any potential real CapEx for this project?
Tapio Korpeinen: Basically, these three bar graphs are explaining the progress in that we are -- at this point of time, we're really on the infrastructure building and discussion with the Uruguayan government of the possible options and potential for the large investment in Uruguay when that's completed then starts the second phase where the pre-engineering and debt permitting and that kind of things are put together. Of course, there are some costs coming from those as well, but then typically and always after the decision of the Board when that happens then the kind of big CapEx starts to flow out. But not to really put any guidance onto timing, but what we've been guiding that it is 18 to 24 months that this second phase after completion of the first phase where we're still in and we're entering to really then make a market study and put all the things together.
Justin Jordan: And ultimately your project return hurdle would be the same 14% as you use in Biorefining?
Tapio Korpeinen: Obviously, we just renewed our targets and that would be kind of interesting, if we wouldn't actually have had that kind of target for the investment.
Justin Jordan: Sure, I've just got a question whether it potentially would be higher, that's all?
Tapio Korpeinen: That I'm not commenting at this stage.
Justin Jordan: Okay, all right. Thank you. And just on -- sorry just moving to the increased maintenance that you're guiding to the 35 to 45 in Q2, can you just remind us what the maintenance expense was in Q2 '16? I'm just trying to get a sense of what that extra increases on the year-on-year sense?
Jussi Pesonen: Well, let's say and I'll figure on that, but again you can get the sort of the scale sequentially from Q1 difference for between this year and last year versus we did not have a bigger pulp mill shut in the second quarter, which now we do have in Pietarsaari.
Justin Jordan: And just in terms of also Tapio for you. There is the asset disposals that you've done in hydropower or announced I suppose in Q1 and recently, you've talked the business line of about 65 million, most of the gain is that between Q2 and Q3. Could you just give us some idea of just the cash process from those three disposals and aggregate please?
Tapio Korpeinen: Well, let's say, you'll see the cash flow statement then when it comes, so we don't disclose more than that. But of course let's say so that, the kind of value that we got from this assets was quite high therefore also the gains were good from that, and of course for us they were sort of non-core assets being kind of run of lever power plants related to the Paper Mills and Paper ENA, and of course in the case of Madison and Maine, we had stopped operations as far as paper production is concerned in Maine. So, obviously, this hydro asset became available for sale and we were able to have an attractive valuation on the assets.
Justin Jordan: Sure and I appreciate what you said early about having the Paper ENA mentioned of the numerator and the denominator of their returns settled. And I guess what I'm really intrigued about, are you liking the potential for their asset disposals of these nature?
Tapio Korpeinen: I would say that we're looking obviously all the time kind of turning every store into store and so on. Let's say larger scale divestitures, there aren’t that many assets left there in terms of these kind of adjacent assets as such, but as I said, we're looking to kind of find any possible way to really its capital where it's not really core to the Paper business at time in paper ENA.
Justin Jordan: Just one follow-up on Paper ENA that you had 35 million, depreciation in Q1, but since then you've skipped down this sort of -- will you attempt to cut three assets disposals, you have done the two closers. Can you give us some idea of what quarterly depreciation for Paper ENA will be post that? I'm guessing possibly around 30 or so, but is there anything that you can help in terms of guidance on what the run rate depreciation for quarter in paper ENA would going forward, please?
Jussi Pesonen: That figure, I'm afraid I don’t have it right now for here so, we will have to cover that.
Operator: Thank you very much and the next line is Robin Santavirta with Carnegie. Please go ahead. Your line is open.
Robin Santavirta: A question on the volume growth which was as you said, then I expects that that now what is trailing that volume growth? And could you comment whether it was stronger early in the quarter or strengthening towards the end of the quarter? Are you gaining market share and in which area in sort of geographies, are you growing the strongest at the moment?
Tapio Korpeinen: Of course, I would say if I start generally there are two kind of driver to the volume growth on one hand that we have had quite a positive let say market demand and sort of the growth in demand from our customers in several of our businesses Plywood, Specialty Papers in Asia, but label papers within specialty papers also in other parts of the world. In the label business as such in Raflatac as well and also in the pulp business as you can you, let's say shipment figures for the pulp industry now in the beginning of the year. And also we've invested in all of these businesses, so the near capacity or the additional capacity that we've added then comes to full use and then perhaps finally also what was mentioned is that when it comes to the UPM Specialty Papers, there could sort of demand in those sort of label and usages and its success with our new investment in Changshu has allowed us to have a very good development also in terms of the mix, in terms of the share of label papers in the mix of our operation in Changshu.
Jussi Pesonen: If you take the Page 3, there you can see where you can see that the Pulp deliveries were 8% up, Specialty Paper deliveries 3% up, our Raflatac delivery 6 % up, our Plywood deliveries 7% up. And you know maybe to note here that for the first quarter, paper demand in Europe, Paper ENA you know the deliveries were minus 2% down. So, that’s the kind of where that, that come from almost everywhere and this is a good picture on Page 3 to illustrate where the deliveries were coming.
Robin Santavirta: So, would you say it's more x-rayed that market growth or x-rayed that market share gains?
Jussi Pesonen: It depends on letting the biofuels, we are getting market share of course and many of the growth businesses we are it’s a combination with. In paper business, we are spot on of the market as I correctly remember you know the demand, the decline in Europe was 1.8% and our deliveries were minus 2%. So it's a kind of we have been growing with the market, but then when it comes to new products that are having a high entry barrier, most probably we are growing also market share, but the main driver is good market demand. So, the basis is that having a very slowly you know good growth opportunities.
Robin Santavirta: Good, thanks and then another question on cost. Now you talked about input cost inflation and we can see around 1% input cost inflation in Q1. Now how should we -- how should we look at Q2 and the rest of the year, are you sort of guiding that this input cost inflation is set to accelerate towards the top of Q2 & Q3 and Q4? And could you give a ballpark figure, if 1% was the input cost inflation in Q1 that would be a good work to figure going forward?
Jussi Pesonen: I would say that it's -- we don’t have a number for the inflation to give as such for the Q1 or for the coming quarters. Obviously what you can see is the net impact in the sense of whatever is happening in our input prices on one hand in the market and then on the other hand how much we are able to sort of compensate for that through our own measures in terms of saving on variable cost. And again in the first quarter we were able to as a company as a whole have said it's obviously the picture varies, business-by-business, but for the Company as a whole we still had a kind of a small positive on that. So, we were able to sort of do more than what we have as a headwind from the cost factors. I think let’s say looking at many of the components going forward, I think there is sort of cost pressure and pressure for increased cost will continue to be there in some cases like for instance recovered paper we have seen in the short-term quite clear increases in costs which perhaps are not yet fully or fully felt in the cost and continue to sort of be there. So, overall, I think this inflation will be with us most likely for this year at a moderate level, and then what we have to do is continue fighting it against through our cost saving measures that we have. And as said also the overall dynamics in the sense have changed that we have as we see sort of cost pressure from our suppliers coming through the value chain and then that sort of dynamics going further downing the value chain are different as well. So we are also seeing price increases for many of our products already at this point in time.
Robin Santavirta: Good, thank you very much.
Jussi Pesonen: Maybe just to sort of come back to the previous question that was around depreciation here, we check the figure and it's about €32 million per quarter for Q2 onwards this year.
Operator: Thank you very much and moving on to the next line of Mikko Ervasti with DNB Markets. Please go ahead. Your line is open.
Mikko Ervasti: Thank you very much and good afternoon, congratulations on the good result. My question is little bit more detail on the delivery volumes and the especially on the paper side. So, the Paper ENA deliveries about minus 2% year-over-year, you have the mill closures on the machine closures there. And I believe the market that drops bit faster. So what is driving this sort of outperformance there? And also regarding the Changshu further improvement how much from here is now additional volume growth and how much will be mix shift? Or can you perhaps work more on the cost there? What will be sort of future improvement there? Thanks very much.
Jussi Pesonen: Mikko, maybe I was not clear enough. The market for the quarter one in traffic papers in Europe declined only 1.8%. So the market demand in whole Europe is only 1.8% down whereas our delivers were 2% down.
Mikko Ervasti: Okay. But is there the impact from the [indiscernible]?
Jussi Pesonen: That is we have always been when we are closing capacity, we are fully utilizing that in our high operating rates and we are utilizing those customers. We are not giving any older customers to anybody else. We use them ourselves selling through our cost efficiency meaning that we are having a good utilization rates for the mills, but we have been very much in line with the market where market minus 1.8 and our deliveries minus 2%.
Mikko Ervasti: Okay that's fine.
Jussi Pesonen: And then Changshu, I think that we are not going to go in many on the details definitely we are now this is one year one quarter that we have been running the mill. And I have to say that I'm absolutely pleased with the product mix development that we have been able to deliver and then of course the profitability therefore further work continues on efficiencies on quality on sales mix. And that's an excellent achievement where we have been putting a new Specialty Paper line into the market and that really had good benefit out of it.
Operator: Thank you very much and moving onto the line of Linus Larsson with SEB. Please go ahead. Your line is open.
Linus Larsson: Couple of questions on capital allocation, couple of more question maybe. I was wondering, if you could may be update us if it's possible around your thought process on potential further investment in to biodiesel is that something that is closing in time? And if so what sort of CapEx will that involve do you think?
Tapio Korpeinen: The question is obviously interesting but the answer most probably is not that interesting because obviously what we've been saying for the capital allocation on that page, last page that I was presenting. We're looking for many of the attractive and sustained return investments and like I said, the biofuels and biochemicals are on our radar. What is good news is that the current mill operations or current business is working well, making good returns. And like I stated earlier in last quarter meeting that we do have two organizations, one running the mill and the business and then other considering the growth options for the business; obviously, we've a lot of ideas on biofuels, biochemicals, but also like stated here selected large growth investments as well and then obviously when it comes to the businesses all of the other businesses, growth investment, so nothing to really report on that when -- and what, but obviously lot of preparation.
Linus Larsson: And also question on you've successfully invested in key profit makings of your pulp mills. Can you say something of that, what's more, should be done on that front in your existing pulp production?
Jussi Pesonen: That has been the kind of one of the great stories; some of us in UPM that when we started Kymmene, Kymmene debottlenecking. If you would have asked me that what next, I would have said, let's see whether we will find any other before we were celebrating the first operating year we decided on other debottlenecking because then of the six departments that the pulp mill is having, we saw that we are gaining with the relatively small money, lot more potentially. If we do so and therefore we decided the second phase for Kymmene, simultaneously, we made the decision on [indiscernible] [Calculus] and that story will continue in a way or another which has been the case. If you remember all the good days when we acquired Uruguay, it was only producing 900 plus thousand tons less than 1 million tons, and now it's producing closer to 1.3 million ton. So, we've been able to really take a lot of low investment money needed debottlenecking that has been really giving us a lot of new opportunity. I would guess that there's similar type of things are still to come, but not going any of the details at this stage.
Operator: Thank you very much and moving on to the line of Simon Rowe with Henderson. Please go ahead. Your line is open.
Simon Rowe: I hope it's not a repeat question, but I just wanted to be reminded of what the topics are when you look at your CapEx Page 11. Liquidity, what you call you strategic investments, do you break down what those topics are? And what those main projects are the green par? I mean I'm receiving that the yellow is essentially maintenance CapEx.
Tapio Korpeinen: Always the basically maintenance CapEx, we do not -- most probably we announce all of the investments, not even all the -- how big are the investment, but this green par is consisting all of the big ones or that the major ones that we have, but also quite a lot of operative investments in all businesses, Kymmene being the biggest of it. But nevertheless, there are quite many others. RAFLATAC is having bullish investment and so forth and so forth and so there are decisions on the operating scale. I do not have the list exactly what they are -- I guess that we almost announced everything, but not that what is the CapEx for all the investments.
Jussi Pesonen: The bigger ones we've announced and you can see them in the quarterly report. Then there are number of smaller ones that we don’t announce but which are ones that either add to the top line or bottom line or both that are sort of growing the business as suppose to the operational investments, which are mostly about just this is the maintaining assets or maintaining the cost competitiveness of the existing assets.
Operator: Thank you very much. No further questions in the queue. [Operator Instructions] And after no questions in queue, I would like to return the conference call to the speakers.
Jussi Pesonen: Yes, thank you. I think that this was all, I think that this last page on our presentation is a good illustration, what we're aiming in UPM operating model. This is really the core key cornerstone of what we do, continuous improvement in our genes now. And then of course putting a platform to be able then to have attractive returns and attractive dividend and really earnings growth and valuation, so that’s something that we're aiming. With these words from my behalf, thank you for the participation.